Operator: Good day, ladies and gentlemen, and welcome to the Piedmont Office Realty Trust, First Quarter 2022, Earnings Call. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Eddie Guilbert. Sir, the floor is yours.
Eddie Guilbert: Thank you, Operator. And good morning everyone. We appreciate you joining us today for Piedmont's First Quarter 2022 earnings conference call. Last night we filed our Form-10-Q and an 8-K that includes our earnings release and our unaudited supplemental information for the First Quarter is available for your review on our website at piedmontreit.com under the Investor Relations section, during this call, you'll hear from senior officers at Piedmont their prepared remarks followed by answers to your questions will contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995.  These forward-looking statements address matters which are subject to risks and uncertainties, and therefore, actual results may differ from those we anticipate and discuss today. The risks and uncertainties for these forward-looking statements are discussed in our press release, as well as our SEC filings. We encourage everyone to review the more detailed discussion related to risks associated with forward-looking statements in our SEC filings. Examples of forward-looking statements include those related to Piedmont's future revenues and operating income dividends and financial guidance, future leasing and investment activity, and the impacts of this activity on the company's financial and operational results.  You should not place any undue reliance on any of these forward-looking statements. And these statements speak as of the date they are made. Also on today's call, representatives of the company may refer to certain non-GAAP Financial measures such as FFO, core FFO, AFFO, and same-store NOI. The definitions and reconciliations of these non-GAAP measures are contained in the earnings release and in the supplemental financial information which we filed last night. At this time, our President and Chief Executive Officer, Brent Smith, will provide some opening comments. Brent.
Brent Smith: All right. Good morning, everyone. And thank you again for joining us on today's call as we review our financial and operating results for the first quarter of 2022. In addition to Eddie, on the line with me this morning are George Wells, our Chief Operating Officer, Chris Coleman, our EVP of Investments, and Bobby Bowers, our Chief Financial Officer, as well as other members of the senior management team. We are extremely pleased with the strategic transactions closed during the first quarter and encouraged by the continued momentum we are witnessing across our markets, which led to the strong financial results.  While some U.S. companies are taking longer than we anticipated to finalize their return to the workplace strategy, we continue to encourage investors to focus on new tenant leasing, as an indicator of the strength in the office sector, as opposed to individual building utilization levels, which can vary greatly by region and tenant size.  And on that metric, I would note that Piedmont's new tenant leasing activity this past quarter was the most robust it has been in over three years and marked the third consecutive quarter we've exceeded pre -pandemic levels of new tenant leasing. This leasing volume was achieved irrespective of the fact that the first quarter of the year, historically, tends to have the lowest leasing activity due to winter weather. Furthermore, these leasing transactions continued to demonstrate the positive momentum we're experiencing across our portfolio, particularly in our redeveloped properties.  I would reiterate Piedmont portfolio is long-dated and position for growth with the average in-place rent five to 10% below market, and approximately six years of weighted average these term remaining. At this time, I'm going to turn the call over to George Wells, our COO to review this quarter's leasing activity with you in greater detail. George.
George Wells: Thanks, Brent. And good morning, everyone. Our operational teams delivered strong first quarter results on many fronts. And the leasing momentum is very encouraging, just as exciting as to see our tenants are increasingly communicated with their employees to return to the office. Our well amenitized and wellness focused portfolio is in an excellent position to support our customers occupancy goals. In fact, our space utilization rate varies by tenant and property and it is approaching pre -COVID levels at a few locations and in some markets, utilization is averaging above 50%. Our lowest utilization levels are in Minneapolis and Washington, DC which are at approximately the 30% level at the end of the first quarter.  I'm very excited this year, our leasing results for the quarter we completed approximately 50 individual leases totaling 552,000 square feet with just under half of that activity related to new tenants’ leases. As Brent noted, these results reflect the third quarter in a row of exceeding pre - COVID new leasing tenant levels and specific to the first quarter of this year. These results include the largest amount of new tenant leasing that we have experienced in the last 14 quarters. Tenant leasing demand is validating a flight-to-quality bias in the marketplace and our strategy to aggregate modernized, well-located, classic properties that have an onsite and or walkable amenity base continues to drive our leasing success.  These building factors, combined with a more robust service offering versus our peers for attributes such as ten engagements, health, wellness, and sustainability, continues to have a meaningful impact on tenant space absorption, driving a 30 basis points increase in our lease percentage this quarter alone. Perhaps the best example of this phenomenon occurred this quarter at our Atlanta Galleria Project. According to the Bureau of Labor Statistics, Atlanta has not only recovered all the jobs lost during the pandemic, but sits at 103% of pre - COVID employment levels. So it should come as no surprise that this market continues to exhibit the strongest fundamentals across our portfolio.  As reminder, we own five office buildings at the Project spanning 2.2 million square feet, which is 84% lease with the rental rates in the mid-30s gross, the highest in the submarket, excluding new construction at an all-in basis of 245 per square foot. In the last two years, we redesigned the six-acre park experience. We've expanded food and beverage options. We've upgraded the fitness and conference center facilities, integrated new outdoor collaboration space, and improved access to the Atlanta Braves Battery entertainment complex.  As a result of these repositioning efforts during the first quarter, we've signed nine new tenants as the Atlanta Galleria, including three corporate headquarter relocations comprising 25,000 to 50,000 square foot each, and we renewed an additional seven tenants. In aggregate, these leases were executed with an average of eight years of term and rental rate roll-ups of approximately 10%. As many of you are aware, this project is situated at the corner of I75 and 285 and is connected directly to Atlanta Braves Truist Park, creating a unique office environment with prominent signage.  The project exhibits the enhanced workplace strategy that we're employing throughout our portfolio, and as a result of these place-making efforts, leasing has been off the charts. Since January 2021 Piedmont has signed more than 291,000 square feet of new deals with roughly 300,000 square feet of leasable space remaining at the complex. It's a fantastic organic growth opportunity for the company. Atlanta, along with our other Sunbelt markets, Dallas and Orlando help drive the first quarter's leasing activity. In fact, Dallas experienced the most leasing during the quarter, led by the renewal of our largest 2022 lease exploration and national pharmaceutical retailer located 750 West John Carpenter.  This approximately 164,000 square foot renewal resulted in a positive cash and accrual rent rollups of approximately 10% and 17% respectively. Finally, this transaction highlights the increase focus we see from national corporations towards sustainability focus landlords and buildings. And in this case, the building's lead Gold status was a differentiator. From a macro perspective, the Dallas economy continues to be a national leader in employment growth. According to the Bureau of Labor Statistics, this metro has remarkably recovered 106% of jobs lost during COVID.  And it is not surprising that Dallas is rank by CBRE at it's 2022 Investor Intention Survey as the top office market for capital deployment. It certainly feels like this market is poised to experience positive absorption in the next few quarters. In Orlando, we completed 10 leasing transactions this quarter, including six new tenant leases. Most noteworthy, our local team successfully completed a lease renewal with the top 100 AML law firm with 40,000 square feet under a new 14-year lease and with a high single-digit accrual and cash rent rollout.  This renewal at our 775,000 square-foot South Orange Average complex, which is located in the heart of downtown, where we are completing a multi-million-dollar redevelopment project, is gaining a fair amount of market recognition and is attracting a number of new tenant prospects. The redevelopment includes a significant lobby modernization, an upgraded two-acre outdoor park with collaborative workspaces, tenant-dedicated balconies, expanded food and beverage options, and a best-in-class conference center.  Today, we are pleased to share some exciting news regarding this modernized legal South Orange Average project with the announcement of a just sign, approximately 62,000 square foot new lease of one of the nation's premier planning and design consultants, Kimley-Horn and Associates. This marks the second location for this tenant within our portfolio and demonstrates the frequency in which tends to return to Piedmont for their office space needs with the latest Kimley-Horn lease, new leasing of the South Orange Avenue property now totals approximately a 125,000 square feet since January of 2021.  Outside of the Sunbelt, new leasing activities occurring our Boston assets, albeit these properties were already relatively well-leased. According to Nu Mark research and million square feet of lot office-to-lab conversions were executed during the past five years within the West Group 128 Sub O market, which includes our position in Burlington with another 4 million square feet right behind it in various stages of conversion. That will dramatically reduce the size of that submarket by 19%, allowing us to continue to push rental rates higher.  Deal flow is generally slower in our other markets. In Washington, DC, more return-to-office announcements give us renewed confidence that recovery there will gain momentum. MasterCard, a large customer at our 4250 North Fairfax lead gold trophy office tower in Ballston, has eliminated it's alternating team concept. It now requires all employees to be the office several days a week. Also, Green Street, in March, highlighted the Biden Administration's recent statement claiming that federal agencies will lead by example in returning to the office.  And since that news, the Federal News Network has reported that to agencies, EPA and the Veterans Administration, are returning to the office in the second quarter of the year. Geopolitical uncertainty could also boost office demand in the near-term from defense-related industries. This industry generally seeks close proximity to the Pentagon in Northern Virginia, where we own create well - amenitized lead-designated assets that sit adjacent to to metro train stations. We have very limited amount of lease roll to Washington for the remainder of the year. Our sole asset in New York is approximately 90% lease with virtually no expirations this year. Deal flow is slow though as the city in general is still in the early stages of recovery.  That said, occupancy utilization is over 50% at our 60 Broad asset, and we continue to make modest progress on our lease with New York City. Minneapolis, the city with the largest number of Fortune 500 companies per capita in the U.S., has historically maintained one of the highest stabilized lease percentages in our company and today sits at approximately 90%. Prospect activity is good at our 2021 TOBY award-winning asset in Norman Point and at our LEED Gold asset at the  too, where most of our vacancy resides.  In addition, we are in the mid to lease discussions with U.S. Bancorp, our largest tenant, and we hope to report more progress on this active renewal discussion during the next quarter. In summary, economics for future leasing look promising as leases executed during the first quarter were quite favorable, with an approximately 5% and 13% increase in second-generation rents on a cash and accrual basis respectfully. And the first quarter's executed, average lease term was 6.6 years. Our overall portfolio is at 87% leased as of March 31st, 2022, up from 85.5% leased at year-end 2021, with only about 4.6% of our portfolio's annualized lease revenues expiring in the remainder of 2022. Our leasing pipeline has not dissipated.  Our record levels of perspective tours and active proposal pipeline and that is an additional two, our 1 million square feet of already executed leases that have not commenced or are still an abatement which represent approximately $33 million of incremental cash ALR due to comment to the portfolio over the next 12 to 24 months with very few leases expiring for the remainder of the year. We continue to expect net space absorption during 2022 expansively since roughly 90% of those expirations at 70% of our vacancy reside in the Sunbelt.  This bolsters but our confidence to reach an anticipate a year and lease percentage of around 88%. Thank you for your time this morning. I am now going to turn the call over to Chris Coleman, who will review with you our property investment transactions completed during the first quarter, and our capital deployment strategy. Chris.
Chris Coleman: Thanks, George. On the investments front, the team has been very busy and we remain highly optimistic about the deal flow we're seeing in our pipeline. Looking back over the past 18 to 24 months, the overwhelming majority of what we've seen marketed through the brokerage channels has been characterized by long , good credit, newly developed, and/or 100% leased assets. They're fully banked with little downside and they've traded at plus or minus 5% cash cap rates in 20% to 35% above replacement costs.  As most of you know, this has not been the traditional opportunity set for Piedmont but if these types of opportunities allow us to continue to elevate the portfolio and further advance our Sunbelt expansion, we will consider these transactions if highly strategic in nature and accretive to earnings. To be clear, we're not abandoning our more traditional investment philosophy of buying well-located real estate in great markets at a basis which supports repositioning, redevelopment, and activation. We firmly believe in the flight-to-quality theme, and we think it's here to stay. But as George outlined at the Atlantic Galleria, 25 Burlington Mall Road in Boston, and through the momentum we're currently seeing in Orlando, following our redevelopment efforts there, quality is not solely defined by age.  Well-placed capital can, in fact, reinvent and reinvigorate great real estate. And I will note, while the brokerage community plays an incredibly important role in our acquisition pipeline, we're not dependent on broadly marketed transactions as our only source of investment opportunities. We have made significant progress tightening our footprint and concentrating in particular nodes, which we believe provide outsized growth and opportunity in our portfolio. We know where we want to be. We know the assets we want to own, and our local teams know the owners of those assets.  We can't force them to sell, but we can certainly play offence; express our interest and try to engage in discussions, which is precisely how our acquisition of 999 Peachtree in Midtown, Atlanta came about. And after just five months of ownership, we have already completed approximately 60,000 square feet of leasing at the asset. So our teams are actively engaged with brokers and directly with owners, principally in Dallas and Atlanta at the moment, and we're optimistic that this heightened focus will continue to generate great results in 2022. The pipeline for acquisitions stands at around $1.5 billion and gives us confidence that we can achieve our goal to have at least 75% of our EOR generated by our Sunbelt markets by the end of 2023.  On the disposition side, we've already disclosed two completed transactions in 2022: the sale of our Presidential Way assets in Boston, and the sale of Two Pierce Place in Chicago, both of which closed in late January. We also reported that our notes receivable related to the 2020 New Jersey portfolio sale were fully repaid in late March. Completing our exits from Chicago and New Jersey as projected and redeploying those proceeds in the Midtown Atlanta through a reverse 1031 at accretive yields. Looking forward, we have engaged a brokerage team to market our two non-core LEED Gold assets in Houston.  We're also evaluating market conditions for our two assets in Cambridge were unprecedented pricing metrics has severely limited our opportunities to grow. So as we've said often, if and when we cannot grow within a submarket and we have fully maximize value on a given asset. We will consider selling. In the case of Cambridge, both variables are certainly true. And we believe we can redeploy those proceeds in an accretive manner. We will continue to take a close out of the balance of our portfolio and will likely per in select assets in addition to the activity I just mentioned, with the intention of reinvesting those proceeds in higher growth markets in the Sunbelt. With that, I'll turn the call over to Bobby to walk you through the financial highlights of the quarter and our updated guidance for 2022, Bobby.
Bobby Bowers: Thanks, Chris. While I'll discuss some of our financial highlights for the quarter, I encourage you to please review the entire earnings release and supplemental financial information which were filed last night for more complete details. Core FFO for the first quarter was $0.51 per diluted share. That's a 6% increase over the first quarter of 2021 and this increase is primarily due to accretive recycling activity since the first quarter of last year and rising role at rental rates.  That's particularly at our most amenitized locations such as the Galleria and Glenridge Highlands in Atlanta, South Orange Avenue and CNL Center in Orlando, the Galleria and One Lincoln Park in Dallas, as well as Wayside Road and Burlington Mall Road in Boston. These are projects where we are now achieving net effective rents, higher than those pre -pandemic. AFFO generated during the first quarter was approximately $39 million well above our current $26 million quarterly dividend level.  As we mentioned last quarter, our board has indicated that given our cash, NOI growth over the last few years, the fact that we're approaching the conclusion of the large construction restacking project for the State of New York at 60 Broad, as well as the time since our last dividend increase, the Board will be reviewing our dividend payout amount during the summer of this year. Also, George has indicated our completed new tenant leasing activity during the first quarter of 2022 was the best in several years. Second-generation rents during the first quarter improved 5% and 13% for cash and accrual basis rents respectively.  On a same-store comparative basis, cash NOI increased a little over 5% and on an accrual basis, it increased approximately 2.5%. Turning to the balance sheet, our trailing 12-month net debt to core EBITDA ratio. As of the end of the first quarter of 2022 was within our managed range at 5.8 times. As noted on our last earnings call, we anticipated. And during the quarter, we did receive approximately a $119 million in proceeds from the payoff of two notes receivable that were outstanding as of December 31st, 2021.  The proceeds were used to pay down our $500 million-dollar line of credit. And as of the end of the first quarter, we had approximately $420 million of unused capacity on the revolver, and we had a debt to gross asset ratio of 34.6%. Now, we have no scheduled debt maturities in 2022 other than a $500 million-dollar revolver, which are Treasurer, Eddie Guilbert, and his team are currently in the process of renewing, with the closing targeted for June of this year. Finally, at this time, I'd like to update our annual guidance for 2022, raising the low end of the range and the midpoint of our previous guidance.  We currently estimate core FFO per diluted share for 2022 will be in the range of a $1.99 to $2.07. This revised estimate incorporates the successful leasing progress year-to-date and an analysis of our existing tour activity and prospective leasing pipeline. It also includes the current backlog of approximately 1 million square feet of leases, yet to commands or in some form of abatement, which will generate new revenues. All will offset reimbursable operating expenses. That guidance also includes an accelerated rise in our projected short-term LIBOR interest rates on our debt specifically the 30-day LIBOR we expect to increase to over 2% by year-end.  And we also have several other operational and supply chain considerations that we've included in our new guidance. As a result of this revised guidance, our estimated same-store cash in accrual basis  for the year are both expected to be positive in the range of 1% to 4%. I will note the effects of the dispositions that were completed during the first quarter, as well as the payout of the $119 million notes receivable were already included in our original guidance. However, no acquisition or disposition activity is contemplated in this new revised guidance. At this time, I will turn the discussion back over to Brent Smith.
Brent Smith: Thank you, George, Chris, and Bobby. Repeating the comments I made at the beginning of the call, I'm extremely pleased with the operating results achieved thus far in 2022 and I want to express my sincere appreciation to my colleagues working diligently everyday at Piedmont. We are excited about our leasing pipeline and the organic cash flow growth that can be generated and we're very encouraged with the accretive capital recycling opportunities we anticipate this year, both of which can accelerate and improve earnings growth of our portfolio. That said there will be challenges, particularly in the areas of construction and property management but our team is closering -- closely monitoring supply chain issues to minimize the impact on construction projects and tenant services and our finance team will be prudently managing our expenses and balance sheet during this inflationary environment.  As I talked with other CEOs and business leaders around the country, many are sharing that as much of a struggle that was lead organization through the global pandemic, it is just as much of a struggle to lead our organization out of it, to be more efficient and more productive in this new hybrid environment. Although work style and schedules will be different than they were before COVID, there seems to be a significant agreement from executives on our long-term value for most organizations to offer their employees a modernized, easily accessible, amenitized office space, as part of the organizations hybrid work model.  We've been saying that we believe we position ourselves to capture a significant amount of that evolving tenant demand in the post-pandemic world. What is admittedly gratifying to see it coming to fruition. Piedmont's strategy of offering a premier sustainability and wellness designated amenitized office experience at rental rates well below new construction is resonating across our markets. To that end, I want to reiterate our steadfast commitment to be a leader among the commercial real estate industry for environmental, social, and governance initiatives.  And calling your attention to the fact that our entire portfolio was awarded the Well Health and safety rating during the first quarter. At Piedmont, we're dedicated to enhancing the safety and well-being of our portfolio as our tenants complete the transition back to the office and the Well Health Safety rating reinforces our market-leading policies and procedures for keeping our tenants, employees, and visitors safe, healthy, and productive while bolstering confidence for those utilize our buildings.  We remain fully committed to exceeding the expectations of our customers, staying on the leading edge for space, design, amenity, and service offerings. Demand in today's competitive workplace, which will help our tenants to attract and retain their employees in a challenging labor market. We're sensibly reinvesting in our portfolio, keeping our assets fresh and modernized, and where we do not leave reinvesting in an asset will take it to premium levels. We will call it from our portfolio. Exceptional quality is crucial. And we do not want our own commodity product. With that, I will now ask for our conference call Operator to provide our listeners with instructions on how they can submit their questions. We will attempt to answer all of your questions now or we'll make appropriate later public disclosure, if necessary. Operator.
Operator: Ladies and gentlemen, the floor is now open for questions. We ask that while posing your question, you please pick up your handset if listening on speakerphone to provide optimum sound quality. Please hold while we poll for questions. Your first question for today is coming from Dave Rodgers. Please announce, your affiliation, and then pose your question.
Unidentified Analyst: Baird. Hey, guys. This is Nick, on for Dave. First, I maybe you wanted to touch on some comments George made, especially on the leasing pipeline. I think last quarter Brent mentioned around 500,000 square feet of active negotiations, and then an additional 1 million square feet up that you're trading LOIs on. Just wanted to get an idea of like where that pipeline stands now. Just wanted to see if the strong leasing that we saw in first quarter is going to continue throughout the year, and then maybe break that pipeline down between new and renewal leasing.
George Wells: Sure. Good morning, Nick. This is George. Thank you for the question. I will tell you momentum continues to be quite strong. I mean, just starting out for the things that happen before getting proposals in terms of tour activity, we had a record high number of tours in March that we haven't seen in the past 18 months. So aggregately, we're really happy with where the momentum is from a tour perspective. And diving into proposals, it's been pretty consistent, somewhere around 100 deals per quarter. I'd say $1.5 million to $2 million overall in overall transactions. And I would say about a little bit more than half of that is for new deal activity.
Unidentified Analyst: Great. And then maybe on the renewal side, you guys mentioned U.S. bank. How soon are you beginning discussions with some of these larger explorations on their spaces?
Brent Smith: Hey, Dave, this is Brent. I'd say we start discussions if the government tenant usually about three years out before exploration. If it's a more traditional corporate tenant, it's usually somewhere around 18 months out. We try to prod them and depending on the situation these days though usually engaged around 12 to 9 months out, just depending on how they're thinking about their space and how they plan their work from home approach. But that's usually when we start to really heavily engage if you think about what's really sits before us. In terms of those bigger tenants right now, we've obviously shared a CVS was the more near-term.  We got that one accomplished which was great, which really reduces the amount of '22 exposure. Everything else would be ended well into '23 and the most near of the term of those would be Ryan, as we've discussed in the last call. They have not started construction on that potential site that they've considered moving to. We do feel pretty good about our opportunity for at least a short-term renewal but would also remind the market. They've got about 80% of their people back into the space, they're utilizing it and that would equate to it just relative to market a high teens roll up on a cash basis. We feel pretty good about overall the positioning of that asset in the market, a very prominent signage but we do think we'll get something short-term with them there if they do decide to even go forward with the building that they have up in Frisco, the land that they're building on.
Eddie Guilbert: In regard to Cargill, that is further out. But we are in discussions with them. They are still working on their work from home strategy. I think that's still stands in that situation where I think it could go either way, but I think we're still cautiously optimistic. U.S. Bank, as we've talked about, we're a close relationship with U.S. Bank as they are one of our trusted advisors, particularly on the debt side, and I have a relationship with the management team there. We continue to work with them. And downtown, frankly, itself continues to recover, and there location out in the suburbs is critical to their operation. So we're engaged with them, and I'd say we feel pretty good about where things are headed, but it's still pretty early. And I think that's really the major ones for '23 as we think about what's on the horizon. And we feel pretty good about, again, where those stand.
Unidentified Analyst: Okay. That's very helpful. And then the last one maybe is on the investment sales side and maybe for Chris. Sounds like the exit from Houston is pretty eminent. I mean, you guys mentioned that you -- before you enter a new market, you would exit one of your current markets. I guess, maybe on the $1.5 billion of pipeline for acquisitions, is there any new Sunbelt markets involved in that or maybe some new submarkets?
Eddie Guilbert: Yes. Yes, it's a fair question, Nick, we have said for some time we've been evaluating new markets. Really in the major markets in the Sunbelt. We have said as you point out that we wouldn't add a dot without taking a dot off the map. We're certainly trying to further simplify our story, not complicate it. We do intend to be out of Houston sometime this year. It's hard to tell the timing probably circled third quarter, early fourth quarter. And also, we've been pretty clear on where we are heading in New York. So we think we could be in a position to plant a flag in a new market over the next 18 to 24 months. Really hard to put a timeline on it. We've been looking at it for two to three years and for the moment, relays are focused on Dallas and Atlanta, but also making sure we're engaged in some of these potential new markets.
Unidentified Analyst: Great, thanks, guys.
Brent Smith: I think I'd add to that. This is Brent as we continue to evaluate, I think we really want to continue to go deeper into those submarkets. We already have a presence in particularly those we're seeing strong growth in leasing activity and we will look at a combination of core -- core plus value-add. And really what we're looking for though are great assets that are at main and maintenance. May need to be modernized but once that is complete, vacant, easily and effectively compete against new construction. And I think we continue to focus on those opportunities.
Operator: Your next question for today is coming from Michael Lewis. Michael, please announce your affiliation, then pose your question.
Michael Lewis: Thank you. I'm at Truist Securities. I appreciate all the investment update from Chris. I wanted to ask if maybe you could discuss this decision a little bit more. It sounds like you -- you're interested in some lower cap rate assets, and we estimate the implied cap rate on your shares are have an eight handle. So maybe just talk about capital allocation; how you got convinced that this is the best way to allocate capital. You framed it as not really a change in strategy, but it sounds a little bit like it's sort of is.
Brent Smith: I wanted maybe feel like that's putting a little bit of words in our mouth, Michael, to say that we're going after lower cap rate assets. I think we've always said that we are looking for accretive acquisitions and I think if you look at what we have in the pipeline for dispositions, whether it'd be Cambridge, long-term lease Houston, potentially monetization in New York, maybe next year. Some of the other non-core but quality assets that we'll continue to prune that are mature, we feel like we can rotate that into accretive acquisitions. I don't think we feel like we're moving down the spectrum, but we're looking for quality in that regard.  So I think when it comes to what we think we can buy, I think that's still -- we feel a very good opportunity to pick up assets that can compete with new construction. We can find leasing velocity or be able to create value in some manner for shareholders over time. If we look at our own stock, we have bought back our stock in the past and we still continue to use that same framework that when we trade at significant discounts to NAV, and we feel like it's the best use of capital, we will continue to do so.  I would note that we don't have really any capital coming in indoor from a disposition standpoint and would not consider levering up to buy back shares at this point, but we do feel that some of these acquisition opportunities that are in the pipeline that are more value-add and core plus and continue to tighten the footprint and grow cash flow are going to create value for shareholders certainly, and that's where we're going to continue to look for. We'll continue to describe the market with the accretion story is for each transaction that goes forward, but we very much feel like we can maintain that story and continue to improve the quality of the portfolio.
Michael Lewis: Okay. Great. That's helpful. And then, on the leasing side, youhave addressed CVS. You talked about Ryan, Cargill, U.S. Bank, so I figured why not even go out further. I wanted to ask about Amazon in Dallas is a little less than three years out, but do you have any sense of whether they want new space, or if maybe there's potential for them to stay and expand in place? Any -- maybe it's too early. I don't know.
Brent Smith: I wouldn't say it's too early. We are engaged in discussions with Amazon and their brokerage representatives. As you pointed out, that lease is still about three years out, so it is a little early. But as we think about our opportunity at Galleria Tower 4, if we were to think about new development, and also our relationship with Amazon, who continues to bring their workforce back to our existing assets, we feel very -- I guess, like we have a compelling opportunity for them to continue to grow in that location. And we'll continue to be engaged. I would say, with them intently on their opportunities at that location, to either stay in the existing buildings or move to a newer asset, if that's what they would prefer. Remember -- if you recall, they did sign an expansion shortly after we bought the asset, so we continue to stay very engaged with that team and their space needs.
Michael Lewis: And then lastly, for me, one for Bobby. The next maturity of the notes expiring in the summer of 2023, thought I'd ask the question given, what's happened with interest rates lately, how are you kind of thinking about that? I don't know if you have a sense of like what you'd be able to refi that at today. If the cost of capital has moved up materially or .
Bobby Bowers: Well, I'll tell you you're asking the question that all others are watching is we're looking at interest rates very closely right now. You might have noticed in my comments I indicated we've adjusted our interest rates even on our short-term debt, up from a 100 basis point increase this year to 200 basis points of an increase taking place, but having an impact on us. But I'll tell you, we're currently running the models. We're committed to trying to do public debt offerings. You might know in the last two years, we've done two of them. And so we'll be evaluating that as we get closer and we determine what's happening with the interest rates.
Michael Lewis: Okay. Thank you.
Operator: Your next question for today is coming from Q - Anthony Paolone. Anthony, please announce your affiliation and pose your question.
Anthony Paolone: Yes. Thank you. JPMorgan. My first question relates to U.S. Bancorp. I know when New York City and state leases were expiring, yes, we're pretty transparent about what mark-to-market and CapEx would look like for those. Can you give us any brackets around what the U.S. Bancorp situation may look like?
Brent Smith: Sure, Tony, this is Brent. I think the first expiration there are two  -- are two locations for U.S. Bank in Minneapolis was the first location that will come to expire should be I'd say a slight roll up in terms of capital. Those assets are in decent shape I would say so they will need a refresh of capital from the tenant side. Wouldn't say it's equivalent to a new deal, but it's probably a little bit more than a standard renewal, but it would expect we would have a significant amount of term to offset that capital so I think overall on a per square foot per year, it would be very favorable.  And I think the downtown location is kind of early to say, is -- if leasing transactions downtown immediately have been limited, just given what's gone overall as the cities continue to recover in the CBD. But the good news is the major firms are starting to bring their employees back, including U.S. Bank, which I think starts to bolster things. I've talked to tell honestly what would be on a mark-to-market basis but if I had to peg it today, I'd probably say it was roughly flat, maybe slightly up, but it probably I'm being cautiously in that regard.  And in terms of capital, that is a great asset. We put in a lot of money into the base buildings and build a beautiful tenant amenity and hub at the top of the building, beautiful 18 floor ceilings, et cetera. So it's really top of market in terms of the amenities set, and really don't need to put a ton of capital into the base buildings, but that tenant space itself is also in pretty good shape, but I would characterize it similar to the suburban location. It won't require as much capital as a new deal, probably more in line with a renewal or maybe just slightly above a standard renewal in that type because it is a high-quality tenant, which we would expect a long-term commitment in that regard again, again. So the per square foot component would be very favorable. And when I say long term, generally 10 to 15 years.
Anthony Paolone: Okay. Great. That's really helpful. Thanks for all that color there. My second question is probably for Chris and going through some of the capital markets discussion. Given the change in rates and spreads moving, any parts of the market where you've seen liquidity change either for better or worse, either geographically or by product type?
Chris Coleman: Yes, it's a good question. As I mentioned in the prepared remarks, excluding the true core deals, I would say the market has been pretty paralyzed for last 18 to 24 months. So those new assets with long wall and great credit with one or two credits, wanted two tenants rather occupying the entire building until very, very recently, given the disruption that debt markets, those deals have traded it very, very high prices. I'd suggest certainly at pre - COVID levels and maybe even through it in some cases.  Yeah, again, these are situations where the buyers aren't having underwrite through role or lease up and they are really just underwriting the credit in putting a cap rate on the income stream. There are a couple of transactions in our market that look and feel a lot like that where you've got a pristine credit, 13 --14 year firm lease that have been in the market and we're getting exceptional reception until very recently in a couple of those deals have because of the debt markets have been put on pause. So I do think it is certainly the environment has -- has put some buyers on alert and I think some of those trades have been put on pause as a result.
Brent Smith: I would add to that Tony, it's Brent. If you think about just geographically, I would say certainly dense CBD assets that rely on mass transit is the primary mean to getting to the building may have impaired liquidity. I think we're fortunate in that there's very few of those in our portfolio. And the asset in 60 Broad overcomes that because you just have such great long-term, well, with good credit tenancy and that's why we feel pretty good about that. But clearly, I think there is an increased focus on the Sunbelt and some secondary cities. If you note, AFIRE just announced Atlanta was its number one city for the year in terms of foreign investment. And then as we noted in our prepared remark, CBRE noted Dallas was its number one market for investment. So I think you're going to continue to see increased liquidity in the Sunbelt and those more CBD locations, gateway markets, etc., probably have a little bit tougher time.
Chris Coleman: And Tony, one thing I'd just add. We do know anecdotally, brokers are extremely busy pitching assignments and our healthier markets and are advising sellers to go sooner rather than later, given the potentially further rising in rates.
Anthony Paolone: Okay. Got it. And then, just last question. It's maybe a little bit for Bobby and everybody. The occupancy or I guess the commenced or use number was 839, I think at the end of the quarter. I'm trying to get a sense as to what you have embedded for that figure come the end of the year and just where you think that could go. Again, just given the leasing traction you've had and just fairly limited expirations this year and even next year if you take I guess U.S. Bancorp out of the mix, it's also a fairly modest year.
Bobby Bowers: Tony, this is Bobby. Thanks for the question. I might note that we had probably 750,000 square feet of leases yet to commence or in abatement at the end of the year, and that number's climbed to, now, over a million as we've had more leasing success. So based upon the leasing, which we think looks very good right now, that number could potentially climb, Tony. But remember, that's good news. Currently, with a million square feet of leases yet to commence renovation, that's about $33 million revenue, probably translates into a 60% margin, which is about right for us, $20 million of additional NOI. So again, based on current estimates, I think that number will increase, but remember, that's good news in terms of revenues coming down the pipeline.
Anthony Paolone: Right. Some of that million I think is already in the 839. It's just in abatement. And so it can add -- can 839 go to 85, 88? How much can that move?
Bobby Bowers: Well, you’re just asking me estimates, but it could move a 100,000 to 200,000 square feet. And if you  --
Brent Smith: I'd say Tony, just from modeling standpoint, I'd recommend you keep it in walks about for now. So if we're projecting somewhere up to 88% lease by year end, then you had also certain grow that commenced percent by equal amount.
Anthony Paolone: Okay. Got it. So keep that leased and commenced number that spread about the same. Okay. Thanks for the help.
Brent Smith: Thanks, Tony, Operator.
Operator: Once again, if there are any questions or comments . Your next question for today is coming from Daniel Ismail. Please announce your affiliation, then pose your question.
Daniel Ismail: Great. Thank you. Green Street so I'm just curious with construction costs rising and supply chain issues. Are you hearing of any issues on the tenant ends on building out there own space and any potential problems in terms of revenue recognition with respect to tenants not being able to build out their own space, in a decent amount of time.
George Wells: Hey, Danny, this is George Wells. I mean, it's certainly -- I mean, that's all the news in terms of supply disruptions and potential components certain costs going up, but I would say that the impact to our overall portfolio has been modest at this point. It has affected a few commencement dates for some leases, but I wouldn't say it was dramatic. I would probably push it an extra month or two from some of the larger leases, but that's really been the extent of it. And even though costs have gone up, I would say it's not all all materials, and I think we've done a really good job at trying to find domestic suppliers. And for long LEED items, we're trying to go ahead and buy those products early. So those are some of the mitigating positions we've taken to have a modest impact or overall commencement dates into our balance sheet.
Brent Smith: And to add to that, I don't think we see anything major from a revenue recognition standpoint. In that regard, Danny, and what we just see in terms of the commitment and construction pipeline. And I would add that one of the benefits we do see around redevelopment right now is just the fact that we are less impacted by the supply chain. We can easily and more affordably adjust and find other product, et cetera. So that has proven effective as we continue to see leasing momentum pick up again at those projects where we have refreshed the assets and the amenities and modernized it.
Daniel Ismail: Great. And maybe as a refresher, does revenue recognitions starts when you hand the keys over to the tenants or when the tenant has substantially completed the space for its intended use?
Bobby Bowers: Revenue recognition begins once despite substantially complete so you've got to have a certificate of occupancy and then you look at the lease when does it says it commences, but you've got to have the space completed first before you can have any revenue recognition.
Daniel Ismail: Got it, appreciate it. Thanks, Bobby and then maybe just a last one for me. I'm just curious how you mentioned one tenant still trying to figure out their hybrid strategy. How does co-working play in the Piedmont portfolio these days and I'm curious if you guys have any appetite to expand or possibly even just contracts that segment to the portfolio?
Brent Smith: Danny this is Brent. Yeah, I know. I think we've still kind of see the the overall strategy of co-working to be relevant for certain assets and certain locations. Again, it represents about 2% of our overall . So it's not significant amount and we had spread that counter-party risk across a number of operator s, whether it'd be rework or industries or IWG/Regus. But overall we feel very good about those locations where there specifically, where we put them into the building, their users really is amenity, right? And the flexibility for the tenancy. And that has proven to be very good. And the locations we have are all current and we're performing and we continue to option to see them at a higher utilization rate than the actual building itself. But I think that said though we're not looking to increase overall exposure to that sector, again, we put it into locations that makes sense. And then kind of evaluate from there. But I feel like we are pretty good and wouldn't look to increase it materially and we'll evaluate new assets as we bring them into the portfolio. But I think we recognize that you're being prudent with your exposure to that sector.
Daniel Ismail: Got it. Thanks, everyone.
Operator: There are no further questions in queue. I would like to turn the floor over to Brent Smith for any closing comments.
Brent Smith: Thank you. I want to appreciate everyone joining today and just remind everyone that we continue to see and be very positive about the momentum on the leasing front. With low expirations, we do feel like we're really positioned for absorption and got a great set of opportunities ahead of us for potential capital recycling. I'd encourage you -- those to have a chance to sit down with us at Nareit in June to please reach out to Eddie or Justin to arrange that meeting. And we do look forward to sharing more about what differentiates Piedmont, what's driving our strategy, our markets, and our operations. That's really helped us grew FFO 9 out of the last 10 years, and we look to continue that momentum. Thank you for joining us today.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.